Stuart Smith: All right, it's time to being the Progressive Care Conference Call on the 2019 third quarterly filing and business update. Our guest today, once again, will be Shital Mars, CEO of Progressive Care. Now, before we get to Shital, let me read the cautionary statement regarding forward-looking statements. This is the standard statement and it says that, statements contained herein, that are not based upon current or historical fact are forward- looking in nature and constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Such forward-looking statements reflect the company's expectations about its future operating results, performance, and opportunities that involve substantial risk and uncertainties. These statements include but are not limited to statements regarding the intended terms of the offering, closing of the offering and use from any proceeds from the offering, when used herein, the words anticipate, believe, estimate, upcoming, plan, target intend and expect and similar expressions as they relate to Progressive Care Incorporated, its subsidiaries or its management are intended to identify such forward-looking statements. These forward looking statements are based on information currently available to the company and are subject to a number of risks, uncertainties, and other factors that could cause the company's actual results, performance, prospects, and opportunities to differ materially from those expressed in or implied by these forward looking statements. Now, with that, I will turn the call over to Shital Mars, CEO of Progressive Care. Shital, the call is yours. All right, let me see if we have any difficulties here with Shital.
Shital Mars: Hello.
Stuart Smith: There you go. All right.
Shital Mars: Hello, hello. Thank you for joining us this afternoon. It's a wonderful day to report the financial performance of Progressive Care, and I want to tell you we had a little bit of [indiscernible] because we couldn't get into the filing dashboard to get the financial statements loaded up, but luckily right before the call it opened up, and we were able to get it in. So we are on time today. I am going to talk about the financial statements as quickly as I possibly can because I want to get to questions that everybody has submitted, but I also want to talk substantially about what has occurred in the last quarter, and will be and what we expect to be occurring in the next three months, and 12 months. So, to start, if everybody has the ability to open up the financial statements and look on with me at the balance sheet, if you noticed, in the end of September 30, 2019, our cash position has significantly improved. Part of that is some of the efforts we've made during the three months to cut costs and again revenue, but we expect this trend to continue, that our cash position is much more solid and not totally devoted to the money that we raised from Chicago Venture Partners and Elliot. This is now money that is being generated from the operations. Accounts receivable is about $2.3 million. You can see that it's a significant change. For those of you who are now following Progressive Care, the bulk of this change is the addition of Family Physicians RX. Family Physicians RX is similar in size pharmacy to our PharmCo Miami location and our PharmCo Palm Beach location together, so that add about a million dollar, $1.1 million in accounts receivable, inventory also going up, all this again due primarily to the acquisition of Family Physicians RX. You will see that also in goodwill. One of the things I will mention here under the asset section. We have under the assets, we have the building, we have the land, we have cars, we have automation system. The one that is going to be changing soon in the fourth quarter to this balance sheet is the acquisition accounting for Family Physicians RX. For those of you who have not been following, again, we see that -- you can see that we've modified the terms of the agreement. So goodwill will change, our accrued liabilities will also change. To note, the differences between what the previous purchase price was and what the current purchase price is, and I believe we've consummated that acquisition. And in totality, we do not have any monies that we will be paying out to them over the next two years, the acquisition is complete. Under notes payable, you're going to see an accounts payable, you're going to see accruals here for the Chicago Venture Partners note, you're going to see an accrual here for the Elliot note. We took down $1 million in January; we took down $3 million in March. Of that $3 million, keep in mind that not all of it being used. We returned $400,000 if it. Based on this renegotiation of the purchase price of that, this note liability here will also change, and we have a convertible note here that is seller-financed on the building. You also will see in the notes section the mortgage liability for the building. Keep in mind now that the building, the primary purpose of the building, one, we relocated corporate offices here, so that has saved us some money and saved us some time as well. But we also anticipate, in 2020, with two leases coming due, expiring at the end of 2020, both the Davey and the Miami location, we will be consolidating these locations into the building, consolidating the operations into the building. And luckily we have the capacity here, with over 11,000 square feet; we have the capacity here to have much more scale to fill 100,000 prescriptions or more a month. Right now we're doing close to 50,000 prescriptions. And we can run in multiple shifts here, so we're very much looking forward to the consolidation. Also with that, we will be saving significant amount of money in the rent. Our 901 location, which is the Miami PharmCo location, it has about $18,000 in monthly rent, and we have $8,000 or close to $8,000 in the Davey location which we'll be able to eliminate by consolidating. So, come 2021, that's $300,000 in annual savings from the elimination of these two leases. We have for the first time this year a change in the stockholders' equity. Oddly enough this will change back to what it was. We have 436 million shares issued in outstanding that include shares that we issued to the prior owners of Family Physicians RX. Part of the renegotiation of that purchase will include the revision of those shares. So, this will come back to about 426 at the end of this month, beginning of next month when we return the shares to -- and return and cancel these shares under our capital structure. Going to the consolidated statement in our operations, this is what we are most proud of today, and partly because the sales number is a record sales number for us. This is the first time in the company's history we broke $10 million in a single quarter. We have never done that before, in all of last year we did $20 million in sales, so through three months in 2019 here we're at $22 million in sales. The big key thing that I want to point out to everybody here, a lot of this is fairly similar to what we were recording quarter-over-quarter, but I want to point out a few major items. One is our gross profit margin is increasing. We're doing a couple of things to make that happen. One, we're actively switching patients from brand to generic as much as we possibly can, wherever their therapy or their health outcome wouldn't be adversely impacted by that switch. That's increasing our profit margin. And also we've been focusing tremendously on products and relationships and services that carry higher margins than traditional prescription dispensing. So you'll see that over the last quarter, our gross profit margin has increased. For anybody involved here, once we hit 25% in gross margin, we are a combined entity profitable company, we only need one more percentage point, which we believe will be close to getting that this month by working with the new contract that we have with McKesson that drops our cost of goods by about three percentage points. So, we are excited by that. The whole reason we got that, by the way, is because of the acquisition of Family Physicians RX increased our buying power. So they're not giving now, they're giving to us price concessions on all of our cost of goods. So we're very close here on total company profitability, and we believe that we're going to start seeing that, and we are already seeing that in the last two weeks of September, and seeing that October, November, December, so look forward to the next set of financial statements that will be filing for December, because we believe that the last quarter of this is going to be very good. The next thing that I want to bring up is the change of fair value of derivatives. In this set of financial statements, we implemented multiple layers of review for the integrity of the financial statements, for the comfort level of our shareholders, for the investing public, and for my peace of mind as well. We put this thing through the rigor to make sure that the numbers we report here are safe and they are sound, and in doing that, we decided that it was most prudent to modify the assumptions we made in the simulation process that determines how much liability we're moving for the Chicago Venture note and the Elliot note, because we've made changes to the assumptions and that isn't due in large part to the volatility and the change of price of the stock that we noticed occurred during the third quarter of 2019. We think it's best to apply the same assumption to the model that we did in January and the model that we did in June. Right now, we're working on those models and reworking those simulations to come up with the right derivative calculation for the proper period for comparison purposes. So, we will be issuing restatements of March and June. Keep in mind that nothing is changing above that derivative liability line on this statement of operations. The only thing that will change is how we're treating the derivative liability, and we're only doing this because we want to make sure next year when we're doing SEC filings that the comparisons to the March Q and the June Q accurately reflects the proper assumption. So we're making that change voluntarily, and we think it's in the best interest of our shareholders and it's the best interest of the SEC filing process, and the re-registration filing process that we believe will begin to take place after we file audited financials for 2019. So the last piece of this statement of operations that I want to dive into is a net loss from continuing operations, you'll notice is a fairly sizable number for the nine months of 2019, all of that the vast majority of that has to do with the derivative. It does not have to do with the financial soundness of the operation as it is. And as our stock price improves, as the volatility decreases, this derivative liability also decreases so we expect that going forward into the October, November, December month as we're delivering better cost of goods, as we're delivering better profit margins that this limited liability will go down in this gross profit number of gross profit last year number will be decreasing. Again, I'll say again that this all of the numbers having to do with the operations of the company have not have not changed. I want to talk a little bit about the EBITDA number, because I think it's important to note especially for the shareholders, we put significant efforts into cutting costs, being as lean as possible, my administrative staff was reduced to make sure that we only have a central staff to get through what we need to get through, so we can fill those gaps, so we can take care of our patients appropriately. We've eliminated any excess advertising cost have eliminated as much as we can, and on top of that, improving things like improving sales numbers, improving profitable sales numbers, and improving our cost of goods. So, what you'll notice is a downward trend in the last, so in the first quarter of 2019, we had a loss of approximately $400,000, and this is our -- I'm talking about EBITDA loss. In the second quarter there was about $250,000 EBITDA. In the third quarter, we had about $100,000 EBITDA. We're very, very close to having positive earnings positive EBITDA, and we believe that the fourth quarter if isolated to the fourth quarter, that fourth quarter will be positive earnings. We're seeing that in the few weeks of September here. We saw it all of October and it's still continuing here in November. And part of that is due to increasing relationships that have relied on us, more business from relationships we already had. And all of these have better profitability and better margins and better relationships with our wholesaler. We think that this is going to continue and now we're looking at 2020 with much brighter eyes, looking forward to the build out, looking forward to the consolidation, looking forward to more savings and then looking forward to being at DC register that's going to be the big things come up in 2020. In for the statement of equity, the one thing that's changed that we didn't have before, we haven't had it for the bulk of this year is Michigan for shares. Again, those shares $10 million of those are going to come back to us. So when you're looking at this. Another thing to note here is we don't have any reconciling item where we have PharmCo shares and we have Progressive Care, beneficiary own shares where we had to eliminate those and reconciliation. Now, our -- whatever you see on OTC markets as recorded by ClearTrust or TransferRegion and shares outstanding that's the shares outstanding no changes we match exactly what they match. We cancelled any treasury share, so that way, beneficiary own shares, so that way we match. The cash flows, we have cash flow positive cash flows from operations that is due in large part to the family physician acquisition and for the work that we've done to shore up 901 and shore up and pardon me if you're not familiar with my references 901 is our Miami location. 1002 is our west palm location. Then I'll talk about family physician, collectively which is two locations Davie and Orlando. So if you're just tuning in with us, 901 is in Miami. We've done a lot of work there to reduce the losses there and a lot of work in Progressive Care. Progressive Care is a cost center for us. It doesn't generate any revenue by itself. So we've tried to make sure that that's as lean as possible, and everybody here as a team, we've made sacrifices here to make sure that we don't take any more money than we absolutely have to, so we have positive cash flow from operations. We've been using cash flows for investing -- investing activities and you'll see that we pull in, we raise money from Chicago ventures, which we use to purchase Family Physicians RX. Again, you'll see in the fourth quarter this cash flow will change a little bit, especially the non-cash items as we adjust the purchase price for family physician, so we are ready to rock and roll there. Everybody is on board. There is all of our workflow issues have been resolved. And we think that now we can start gaining business. Now we can start moving forward, we have strong standing with PBM. One of the things that's not mentioned here in the financial statements is the fact that we received our performance scores for these, the first two quarters of the year that came out in the third quarter of 2019, and we out of four locations, three of them had max performance force. Now not allowed to disclose which PBM that is, but a major PBM ranked as very, very, very highly. And we have the max performance bonus for the bulk of the billing that we do. So, for our Miami locations, which is 25,000 prescriptions for family physicians, which is 16,000 prescriptions. We have realized the maximum benefit of the work that we do and the clinical expertise that we have. Some of you may be asking, well, what about NOC? What about the Palm Beach location? Why was it not as successful as the rest? The reason is, because of our reputation for helping physicians manage patient adherence, many of those physicians transferred their non-adherent patient to the 1002 location to that West Palm location and we began managing them. The problem with that is even though we only may have filled them once, in that period, we now assume full responsibility for that patient adherence from beginning of January to them. So if that patient was non-adherent all the way through the time when they came to us, we're unable to fix that adherence problem retroactively. And we -- our performance score is hurt by that. Now, we've made several improvements on many patients, the patients that where we can make improvements where they will only non-adherent for a month or so, we can make those improvements and make sure they're are adherent all the way through the end of the year. So we'll have some improvements on our performance score as we close out the year in 1002. But keep him keep thinking that in 2020, we will now match up with all the rest of the pharmacy events in the beginning of the year 2020. We've also told many doctors and many clinics who are, who have patients who have been non-adherent for six months or more, so hold off transferring those patients to us until 2020, because by taking those non-adherent patients on now, each one of those patients will cost us our performance and we will cost us money overall. So we've decided to hold off adding significant business to the Palm Beach location until the beginning of 2021. We're ready to onboard a lot of these clinics. A lot of these clinics are suffering because these patients are going to any old pharmacy and some of these pharmacies are very reputable CVS, Walgreens public, chains, and mail order, but they're still not adhering and they rely on a pharmacy like us who manages those therapies day after day after day. We have a number of things that we are exceptionally proud of being that we've filled 323 prescriptions in nine months of 23,000 for searching in the nine months of 2019. That is a record for us. Our revenues are record for us both on a quarterly basis. On an annualized basis, this is the most we've ever done. This is the best we've ever done. As far as growing our business growing our brand and on top of that, growing and having these top performance ratings and then adding up, adding to this one of the things we focused on very heavily in the third quarter. One was financial performance and really digging these, making hard choices, and getting and turning the losses around. We don't have the luxury of being able to fight back with a lot of these PBM. They're able to reduce rates. They're able to do retroactive adjustments. They're able to implement any fee they want with no oversight and no consequence. So we are hampered by that in one way. But because of that, necessity is the mother of invention. So we've sat here together as a team and found avenues, where we can use and monetize our clinical expertise, monetize our administrative expertise. Nobody knows PBMs better than we do. Nobody knows our fees better than we do. Nobody knows 340B better than we do. Nobody knows these things. And we've been able to reach out to other pharmacies. We've been able to reach out to other entities, we've been reached able to reach out to MSOs, ACOs large scale clinics and private practices, and be able to bring a large amount of business to us, because we've been -- because we're experts in these areas, and we're being recognized by third-party. We're being recognized by Managed Healthcare. We're being recognized by Authority Magazine by Forbes Magazine by a number of different publications in the hemp space for having clinical expertise and CBD for having clinical expertise and medication therapy management for having clinical expertise, and adherence, and practice risk management, so we're being recognized and because of that, because of that reputation, that's why we're growing, that's why more and more patients are coming to us, that's why more and more physicians are coming to us. I want to pivot now to the future to October, November, December to 2020 because I believe that the future is significantly more interesting than the past. We have in front of us a number of phenomenal opportunities. And as I've said to all of the shareholders, my vision for this company is to move into other healthcare spaces to move into cash-based products, to move into areas where we believe that the pharmacy makes a difference to our communities, and to healthcare and to the ecosystem in general. We have opportunities to work with companies that to telemedicine, we've been actively exploring ways to take advantage of our tele PharmCo and tele-pharmacy platform or discharge RX, and we believe that we are at the beginning stages of finding that opportunity to finding that partner. We are very excited, but the negotiations here are in its infancy. And with any acquisition, I want to treat it very delicately, but I am beyond excited for the opportunity to monetize Telehealth in a way that's never been seen before, but isn't being done that doesn't exist in the marketplace. And we will be the ones that spearhead that. We don't need CVS to do it. We don't need Walgreens do it, what they have to be outdated once we come out with our vision for Telemedicine in the future. We think that we have the ability to do remote health monitoring in a way that private family practitioners need and large scale health systems need. The other side of it is RXMD therapeutic. We have been inactive negotiations one with manufacturers that everybody knows, the part that we are just now embarking on is active negotiation with current CBD company, and we believe with the right partnerships with current CBD manufacturers, current CBD brands to bring them under the RXMD therapeutics label and have our own set of proprietary products that have failed already will be a huge benefit in 2020 to all of our shareholders. One of things that we've been working on for the last 90 days is finding a way to have our shareholders benefit from CBD and from the financial performance of RXMD therapeutics specifically. We don't want to have it be bogged down by just pharmacy story; we want RXMD therapeutics to shine on its own. And we want our shareholders to benefit from that even more than the company at large. We want them to see that this impacts them directly. So we've been working on mechanisms where our shareholders can benefit from that and working with our attorneys on how we can structure and structure the company to provide that added benefit. I am overwhelmed and overjoyed and looking forward to the future is getting me super excited. I have never been this excited about the future. And honestly part of that is that the financial performance of the pharmacies is improving and has improved. We have documented improvement not just here in September, but when we were able to release October sales, which I believe will be next week. This is the most dealing we've ever done out of our stores ever. This is the best single bump we've ever had was October. And even though our prescription counter is down, I'm talking about billing numbers, I'm talking about profitability. And on top of that, because we're making these switches from branch to generic, our profit margins are greatly improving. And I think November is going to hold true and December is going to hold true to that and now with the pharmacies in on solid footing and not needing to use capital to make sure that the pharmacies are working properly. We can move on to technology development. We can move on to spearheading the future of healthcare, we can move on to being the key player or a key player in the hemp space in the nutraceutical space, because we bring that expertise on how these things affect the body. So I think there's a lot for all for all of our shareholders, a lot for all the investors [indiscernible] public to look forward to coming out Progressive Care. And I want everybody to take their time with the financial statements, read it, absorb it, ask questions. I hope that in the coming days I'll be able to do more interviews and answer more questions, because I'm sure there is more now than what there was before we started this call. And I look forward to talking to everybody soon. And I'm going to turn it over to Stuart now to ask the questions that came up before we started this call.
Q - Stuart Smith: All right, thank you for that Shital. And I'm going to start with a question that I think you answered in great detail, so we can probably scratch it, but listeners, and investors, and shareholders, we do take all of your questions very seriously. So, Shital, this one said, can you break down today's PR, referring to the Family Physicians stock purchasing comment. What does it really mean, and if you could break that down. But I think you kind of did that. You talked about the stock being returned to treasury, I think that's really what we're talking about here. But anything, any other color you want to add to the press release that came out November 12th?
Shital Mars: Yes, I want to say for anybody looking at that and saying, what does this mean? This means savings. For a company that is comparable in size to the pharmacies that we already have, to be able to purchase this for about $1.9 million plus inventory and cash is a tremendous amount of value to all of our shareholders. It does a few things. One, it says [ph] of using cash and using all of that cash for the acquisition. And we were able to, instead of having a $3 million note, now we have $2.6 million because we returned $400,000. We save on the AR value, we're able to keep $300,000 that we had accrued that we needed to pay to the prior owners for the net AR value. We also get the stock back, so it brings more shares, brings less dilution. By having this value, we also think that the shareholders should recognize that this company is making moves to protect the shareholders, to protect the value to pay as little as possible. But also, I want to give credit to the seller of Family Physicians RX, who absolutely wanted to make things better for our shareholders. They wanted to close things down, and not have this dragging on two years. And they wanted to have a more secure financial position for themselves. We were able to release that money from escrow, and now everyone here is satisfied. We've done the right thing by all parties involved, and I really want to thank them for having that forethought to come to us and say that we can do a really good negotiation, let's do this, the fair present value of the this money, and do the right thing. So I think for any shareholder listening and wanting to know what does this mean, it means savings, it means less dilution, and it means better financial conditions for the company.
Stuart Smith: Well, very good. When will the company file for SEC registration and become fully SEC reporting?
Shital Mars: We anticipate having the S1 ready in April. We want to have the 2018 audited financial statements and 2019 audited financial statements in the S1. We may have to go back and do prior year audits, so we don't anticipate that, we think two years is enough. And we think with what we've done in 2018-2019, it best reflects the company we want to present to the SEC and investing public; the registered company investing public. So we want to make sure that we're doing the right thing there. We're looking like April. For anybody not familiar with the process, when you file it's not immediately effective. You can expect -- any company you can expect at least one to two rounds of comments from the SEC, those can last 30-50-90 days. So we could have an effective statement by the fall of 2019. So, we really think that that's the best move for us. We're not expecting - the only reason we didn't do it this year is because we had a material acquisition. We're not expecting to have that same kind of acquisition in the next couple of months or in the beginning of 2019. Anything we acquire shouldn't be a Super 8-K situation, and we'll be able to file the S1 pretty easily in April.
Stuart Smith: Okay. Let me do a redirect on that to you, Shital. You said the fall of 2019. I believe you meant the fall of…
Shital Mars: Fall of 2020, sorry. Yes, fall of 2020.
Stuart Smith: Not a problem, because that takes me into my next question. And I think you just answered it. Is the company considering uplifting to the OTCQX in early 2020? And that answer, you were going to start the process, but whether is accepted is fall of 2020 is what you're expecting?
Shital Mars: Yes, one of the things is with the SEC they also do comments. There's no such as thing as you do a filing and they give it a checkmark right away. So, in the best case scenario we're tying to make sure that that S1 is very tight. We don't want to be in the endless cycle of comments, but we really want by the end of summer to have an effective registration statement, which means we're building in time for one, maybe two rounds of comments. With that, now we're registered with the SEC, we're fully reporting, we're [indiscernible] our financials. That means the hold period for any investor is no longer 12 months, it's six months, and it also qualifies us, I believe, to be on OTCQX. I don't know whether we will do the filing for OTCQX or hold off and go straight to NASDAQ thereafter. But I do believe we would qualify at that point. We'll evaluate whether that's in the best interest of the shareholders to pay that uplifting fee for a period of maximum a year. But we don't really want to wait a full year on OTCQX.
Stuart Smith: Okay, understood. Now, when will the company start launching CBD products through RXMD Therapeutics?
Shital Mars: So that's a very big question. We think we're looking at about two to three months. One of the things that we've decided to do and we want to be very careful is, not necessarily with the regulatory environment, which I believe we've gotten comfortable with. We want to make sure that our product stands out, that it is unique. We're looking at having our first set of products and our first orders in December, and by the end of December or beginning of January, and us delivering products in January. We're very close. We're working on the Web site now, and we're working on how we're going to do the certificates of analysis for all of our products, and I would highly recommend nobody buy anything unless there's a certificate [indiscernible] accompanying it, and then we'll be able to start shipping products, so looking December-January.
Stuart Smith: Very good. Is the company considering providing acupuncture services as an alternative approach to pain management? 
Shital Mars: So I'm really happy that everybody caught that article. I am taking my staff on an acupuncture day because I know it works for me. And I know a lot of people suffer with back pain and migraines, and a lot of other things. So we are not planning on offering directly. But one of the things that we have looked into is whether we can work with chiropractors and acupuncturists through our model of providing that supplemental nutraceutical care. So doing cross marketing, cross branding with reputable chiropractors, with reputable acupuncturists to drive traffic to them, and then them also drive traffic to us. We believe CBD also plays a role that they can become dispensing doctors for us for our CBD product. So, we're not looking at becoming providers of acupuncture per say.
Stuart Smith: All right. Now, has the company made any progress regarding the Georgia Pharmacy acquisition opportunity?
Shital Mars: So with Georgia, the opportunity was phenomenal, the only issue there is sometimes when you're doing these negotiations you have different [indiscernible] on valuation and control, and that's really where we left it. We thought it wasn't in the best interest of our shareholders or our brand to seed control to operators in Georgia. We would want to make sure that they're following our model. And the other thing is we did not end up agreeing on valuation of that business. We wouldn't want to get involved with something where it would take seven, 10 years to realize the benefit of the investment. So we decided not to pursue that specific acquisition at this time. However, we do still have communications with the hospitals that are there that were interested in our model, so because of the NDA and the restrictions we have, we have to wait a little bit of time before we can pursue that opportunity independently.
Stuart Smith: All right. This comes from a different investor, could Shital Mars provide an update into any further expansion? It had been mentioned earlier this year, that possible expansion into other states could be a possibility, I wonder if they're also referring to Georgia.
Shital Mars: Yes. So we're already licensed in Georgia. We already are looking at more revenues in New York, and I have asked our staff to look into states like Oklahoma, and California. California, again, take a year to get, it's very difficult, but we are looking at expanding our state presence. So, we're also focused, right now we're focused on Florida. So, part of the evolution of Progressive Care will be becoming a national brand now whether that's through getting more state licenses in our 901 location or doing that through acquisition of partnerships with other pharmacies that have national foothold, which there is the availability to do at this time, we think we can take advantage of that national name and national branding without having to just do it to one location.
Stuart Smith: Very good. Any update on possibility of moving to a higher exchange? We talked about that one as well. So, let me drop down to another one, where we're talking about 2020 expectations. Now, not specifically financials, but 2020 expectations for the company, what will the business look like in 2020?
Shital Mars: I want to prepare all of our shareholders for an evolution of Progressive Care. We believe that because of the work we've done in the pharmacy space, because of the expertise we built and the reputation we built as first-class pharmacy experts that it is time for the next phase of Progressive Care at -- during my tenure, we have slowly evolved, becoming one store, two stores, four stores, servicing multiple states, doing mail order, doing 340B, doing long-term care, we're slowly implementing several new lines of business. I want everybody to prepare for the next phase, which is us moving into the telemedicine space. We're working on an opportunity to do that. I want to say that the platform as we've evaluated it is second to none, and we want to grow it. You may never have heard of it, and when we announced it, you probably will not have heard of it, and that's a good thing, because we don't want it to be like everything else. That will lead us to becoming a national brand and becoming a national presence. We believe that the telemedicine platform that we can employ will be the next best thing in healthcare, and that will be what we will be focused on 2020, 2021, and beyond. And we believe that the monetization rate on that is highly lucrative for all of our shareholders and for all for us as well. Keep in mind that also benefits the pharmacy. We are now looking to get out of the pharmacy business, we're not looking to spin off the pharmacy business, but as we see it, telemedicine and pharmacy need to go hand in hand, remote patient money needs pharmacy services in order to provide the best health outcomes, and we think that the pharmacy provides the best foundation for this evolution to becoming -- to going into technology and going into telemedicine. Beyond that, 2020, you're also going to see more work done in CBD and nutraceutical. So, we won't just be a pharmacy. We won't just be telemedicine, but also going into our own products, our brands, our own services. So, we're really talking about becoming significantly more than a pharmacy and more like a health services company that we've been modeling ourselves as such, health services, and technology. And I think that what all of our shareholders can look forward to, and I try not to over-promise and under-deliver, we believe we can bring more traffic, we believe we can bring more business, we believe we can evolve, and I believe that over the last four years and over the last seven years, I've been with the company everything I've ever told my shareholder, everything I've ever told the investing public, I wanted to do, I have done, and we have delivered time and time and time again, and I'm looking forward to delivering on the next phase of this company.
Operator: Well, Shital, that's our final question. So again, I'll turn the call back over to you for any closing comments or summation.
Shital Mars: I want to thank all of our shareholders for being so supportive. There's a lot of reasons to look at whatever you want to look at in our company, but we are not a fly by night, small micro-cap public company; we have solid revenues, we have 125 employees, we have a building, and how they were not going anywhere. And tomorrow, we are going to be vastly different than we are today, and I'm not meaning the literal tomorrow, but there's so much to look forward in this company, and I want all of our shareholders to get excited about it, to look forward to it, and to hold on, because the ride is going to be very interesting over the next 18 months. It's going to be very beneficial to all of the shareholders, and it's going to be beneficial to this company, and it's going to be beneficial to the communities and healthcare at large. So, I want everybody to look out for it, and be prepared for it, because it's going to be very exciting and very interesting.
Stuart Smith: Well, that concludes our call for today, and you can refer back to the press release that came out November 7 for my email address, or you can simply email me your questions regarding the company at ssmith@smallcapvoice.com. Thank you everyone for your participation, and especially those that sent in your questions. Have a wonderful evening.